Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Bioanalytical Systems Third Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions). As a reminder, this conference call is being recorded today, Thursday, August 14, 2014. I would now like to turn the conference over to Ms. Jackie Lemke, President, Chief Executive Officer of Bioanalytical Systems. Please go ahead Ma’am.
Jackie Lemke: Thank you. Good morning and thank you all for joining us for BASi's 2014 third quarter financial results conference call and webcast. As evidenced by the significant improvement in our financial performance in the first nine months of fiscal 2014 compared to last year, BASi continues to move in the right direction. Revenue for this year’s first nine months increased 9.7% and non-GAAP net income before the change in the fair value of the warrant liability increased 88%. EBITDA for this year’s first nine months was a solid 11.5% of revenue versus 13.5% of revenue for the prior year reflecting the planned increase in our investments in selling and R&D as well as a change in the revenue mix. Also cash flow from operations for the first nine months of fiscal year 2014 remains strong at $1. 215 million versus $1.418 million for the same period of fiscal 2013 while we simultaneously reduced our line of credit borrowings by $1.4 million so far this year in addition to the $1.1 million reduction in line of credit borrowings we achieved for the first nine months of fiscal 2013. We also made a couple of important hires. Right now I would like to introduce you to our new Chief Financial Officer, Jeff Potrzebowksi who joined us about two months ago.
Jeff Potrzebowksi: Good morning everybody.
Jackie Lemke: Jeff brings many years of directly relevant experience to his new role at BASi. Most recently he was Chief Financial Officer of Oerilkon Drive Systems, an $800 million dollar manufacturer of gear and drive solutions. Before that he was Senior Vice President and Chief Financial Officer of Remy International, a producer of electrical automotive parts and CFO for Great Lakes Chemical company focused on specialty chemicals. Jeff is an experienced financial leader with an in-depth understanding of SEC reporting requirements and financial statement preparation who can provide the knowledge and analytical capabilities needed to financially manage all aspects of a public company. Jeff’s addition to our team is enabling me to devote more of my time to strategy, marketing and client development, critical tasks of BASi’s future. Now I’ll turn the conference call over to Jeff for review of our financial performance.
Jeff Potrzebowksi: Thanks, Jackie, and good morning, everyone. I look forward to working with all of you as we go forward. Before we begin the discussion though I’d like to remind you that the statements we make during today’s call about future expectations, plans and prospects for the company constitute forward-looking statements for the purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in the company’s filings with the Securities and Exchange Commission. The statements made on this call are made only as of the date of this call and the company assumes no obligation to update these statements. In addition, we'll discuss certain non-GAAP financial measures on this call which should be considered a supplement to and not a substitute for financial measures prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the comparable GAAP measure is included in the press release and conference call presentation. Now for the results. Revenues for the third quarter were $6,032,000. up 7.7% compared to the third quarter one year ago. On a sequential basis, revenues were up slightly with gains in our services segment contributing to this increase. For the first nine months of fiscal year 2014, revenues were $18.2 million, an increase of 9.7% over the comparable period last year. The increase was driven by the year-over-year increases in our main services business, toxicology and bioanalytical services. Net income for the three months ended June 30 amounted to $215,000 or $0.03 per basic share and $0.02 per diluted share. This compares to net income for the third quarter one year ago of $576,000 or $0.08 per basic share and $0.07 per diluted share. By excluding the effect of the non-cash movement in the fair value of the warrant liability in both periods, non-GAAP net income for the third quarter of 2014 was $149,000 or $0.02 per diluted share and $258,000 or $0.03 per diluted share in 2013. Service revenue for this year’s third quarter increased 14.4% to $4,754,000 compared to $4,156,000 for the same period of the prior fiscal year. The increase reflected higher toxicology and pharmaceutical analysis revenues partially offset by slightly lower bioanalytical services. Toxicology revenues improved due to the increase in the number of new studies conducted while bioanalytical revenues in the third quarter were negatively impacted by client study delays and fewer samples received. On a year-to-date basis, service revenue amounted $14,196,000, which represents a 13.6% increase compared to the same period one year ago. This increase reflects gains in toxicology and the bioanalytical service offering. Product revenue for the third quarter of fiscal '14 decreased 11.5% to $1,278,000 compared to $1,444,000 in the third quarter of fiscal 2013. A majority of the decrease stems from lower sales of our Culex automated in vivo sampling systems over the same period last year. On a year-to-date basis, product revenue amounted to $3,968,000, a 2.4% decrease compared to the same period one year ago. Gross profit for the third quarter amounted to $1,984,000, or 32.9% of revenue, which was down 2.4% compared to $2,032,000, or 36.3% of revenue one year ago. The decline in gross margin percent reflects a change in the services revenue mix between quarters. On a year-to-date basis, gross profit increase 19.3% to $6,141,000 or 33.8% of revenue. This compared to $5,146,000, or 31.1% of revenue for the same period last year. The increased capacity utilization allowed for more profitability and margin expansion. Operating income declined to $256,000 in the third quarter compared to an operating income level of $438,000 for the same period one year ago. EBITDA for the third quarter amounted to $672,000 compared to an EBITDA level for the third quarter of fiscal 2013 of $896,000. The declines in both operating income and EBITDA for the third quarter reflect the planned increase in our investment in selling an R&D versus the prior year as we position BASi for sustainable profitable growth into the future. As Jackie mentioned, the first nine months of fiscal 2014 revenue increased 9.7% to $18,164,000 compared to revenue of $16,560,000 for the first nine months of fiscal 2013. We did report a net loss for the first nine months of $666,000, or $0.08 per basic share and diluted, compared to reported net income of $521,000, or $0.07 per share and $0.06 per diluted share, for the same period one year ago. By excluding the effect of the non-cash movement in the fair value of the warrant liability in both periods, non-GAAP net income for the first nine months of 2014 increased to $429,000 or $0.05 per diluted share from $228,000, or $0.03 per diluted share for the first nine months of 2013. For the first nine months of 2014, operating income increased 12.4% to $823,000 compared to $732,000 a year earlier due to higher reported revenues and increased capacity utilization. EBITDA for the first nine months was $2,089,000, down 6.7% compared to EBITDA for the first nine months of 2013 of $2,238,000, again primarily due to the service revenue mix and the planned increases in spending in selling and R&D. A few balance sheet highlights, you will note that the impacts of the new term loan facility comparing our position at Q3 to our position at the end of the second quarter. On May 14, 2014, we entered into a new credit agreement with Huntington National Bank and the agreement included both a term loan and a revolving loan secured by mortgages on our facilities and personal property in West Lafayette and Evansville Indiana. The term loan of $5.5 million bears interest at LIBOR plus 325 basis points with monthly principal of roughly $65,000 plus interest that's on a per month basis. The term loan matures in May of 2019 and during the month of May. During the month f May, we use those proceeds from the term loan to pay off the Regions Bank replacement note payable. With the new agreement that the balance of the term loan at June 30 was $5,435,000. The revolving loan of $2 million matures in May of 2016 and bears interest at LIBOR plus 300 basis points with interest paid monthly. The balance on the revolving loan at June 30 was zero. BASi plans to use this revolving loan to fund strategic capital investments going forward. The company entered into an interest rate swap agreement with respect to the above loans to fix the interest rate to 60% of the value of the term loan at roughly an interest rate approximating 5%. We entered into this relationship in this transaction as a derivative to hedge the interest rate risk of the related debt obligation and not to speculate on interest rates. With regard to cash flows during the quarter BASi generated approximately $210,000 of cash from operating activities just compared to a use of cash of roughly $31,000 during the third quarter last year. Working capital management drove the improvement. And with that, I will turn the call back over to Jackie.
Jackie Lemke: Thanks Jeff, that’s a lot. I can't revise. I always read that whole thing. I just wanted to say, as I emphasized some prior calls, we are building this company to deliver profitable growth for the long term. That's why BASi's improved financial performance for the first nine months of fiscal 2014 compared with the same period of fiscal 2013 is so gratifying as it clearly demonstrates benefits of our intense focus on three key areas: boosting operating efficiency, driving top line growth and generating free cash flow. We will continue to take decisive actions and make targeted investments to improve our financial performance and grow our business. We are expanding our marketing efforts by building on BASi's inherent strength in specialty assay and drug discovery, regulatory excellence and our Culex automated sampling system. Combined with our unrelenting efforts to accelerate best practices and drive continuous operating improvement this has positioned BASi for higher profitable growth in the future. Jeff just described our new credit facility. The bottom line is that with substantially more favorable terms in the long term debt and line of credit it replaces this new credit facilities lowers BASi's borrowing costs and enhances the company's ability to implement its growth plan. In addition to adding Jeff to our managed team another recent highlight was the naming of Dr. James Bourdage as Vice President of Bioanalytical Operations. Jim was Executive Director of Biopharmaceutical CMC Solutions at Covance, Inc., a $2.4 billion drug development services organization; it is a recognized leader in our industry. Earlier he was Senior Director of Bioanalytical Sciences at PharmAthene, a biodefense company with more than $300 million in government contracts. Before that he was Global Research Advisor and Team Leader in laboratory for Experimental Medicine at Eli Lilly company. This outstanding background makes Jim an ideal fit for what we are working to achieve at BASi and we're proud to have him on our team. The appointment of these two senior executives represents a significant step forward in BASi's continuing program to build a management team with depth, experience and dedication to take BASi to the next level and achieve its goal for growth and profitability. Also during the third quarter, we began implementing an electronic notebook system to improve laboratory efficiency and data management. This step positions BASi to not only meet but exceed customer expectations on a consistent basis. We believe it will create a significant competitive advantage that complements our program to balance the requirements of our large pharmaceutical client with a higher taxable service approach for smaller biotech accounts. As we move into the first quarter of our 40th anniversary, this final quarter of our 40th anniversary year, we plan to continue managing our cost closely even if we remain dedicated to the strategies that drive our top-line growth. We will make additional, judicious investments in personnel, capabilities and training to make this happen. Our commitment to our customers, shareholders and employees has never been stronger. We are intensifying our efforts to improve our processes, embrace change and wisely employ our stronger liquidity position. We will continue to take actions to make BASi a stronger company. We see many opportunities for growth and we are pursuing them with confidence. Operator, we are ready for the first question.
Operator: There are no questions in the queue at the moment. (Operator Instructions). Your first question now comes from the line of line of Mr. Curt Karamanidis[ph]. Please proceed.
Unidentified Analyst: Hi Jackie. Just a couple questions. I noticed that other companies are doing quite well in the industry of late. Maybe if you could comment on some trends? And then, how do you see products sales maybe in the coming quarters?
Jackie Lemke: Well, I think that there are -- the trends are -- that we are trying to follow is in the synthetic compounds, the chemical compounds there is a generic cliff that's everybody has been taking about. And as the brands come off -- the patent cliff, I'm sorry. As the brands come off the patent there is a lot more need for generic testing, which is the bioequivalence testing, which we offer and we are starting to see growth there. We are also starting to see people go back on the chemical side to the drawing board in terms of putting more compounds through discovery. So our preclinical, our toxicology work is starting to rise and we are seeing capacity in the industry getting a lot tighter. And then, on the biologic side, we are anticipating, although this has been anticipated for few years, but we are starting to see a lot more activity in terms of biosimilars. So there is work there in the large molecule side that we are doing. We understand that from an FDA point of view people are still questioning where do they go? Do they have -- can they run it a full study through to come up with a biosimilars? But that said, it’s quite a bit of work starting there. On the product side, I do think that the next quarter will be stronger. We usually have -- our third quarter is usually our highest quarter, but we are seeing a little more deliberation in terms of capital expenditure. But we are also in a positive note seeing CROs are actually getting or requests from their clients to have our equipments packed in, our automated blood sampling system. So we see that as a positive sign endorsement for our technology and as a potential large growth as we get that more as the accepted form of doing studies rather than the manual sampling.
Operator: Your next question comes from the line of Mr. Lenny Dunn. Please proceed.
Lenny Dunn - Freedom Investors Corporation: Good morning. We are clearly seeing improvement on a regular basis and certainly a terrific balance sheet improvement, which I would hope that you would continue to work at rather than to (inaudible) credit to any extent, but obviously, if something makes sense, it makes sense. But my question would be these product sales are obviously far more profitable. And what are you doing to get more products out there because clearly that brings a lot more to the bottom-line?
Jackie Lemke: Yes. We are doing a lot of things. We are investing in R&D in terms of getting our engineering team together with our chemists and our clients to make sure that we are delivering what they need. And we're trying to upgrade a few things. And we -- the quote activity this year versus last year is picking up quite substantially from the BD side. So we're working on the quotes. And I think the biggest thing that we need to do is we need to get the message out there, because we are just competing really against all of the automated sampling that's still being done. So we are working on doing more presentations. We did a workshop at UCLA. We're doing another workshop in September. So it's really getting the word out there, because once people see it the difference between automated sampling its night and day and manual sampling. So really it's getting the word out there.
Lenny Dunn - Freedom Investors Corporation: Okay.
Jackie Lemke: So we're trying to develop the technology a little further and we are trying to get the word out there. We are already seeing quotes increase. What happened in the third quarter is we expected more new units and we got a higher mix of upgrades, which of course are less expensive than a new unit. But we have several new units being prepared right now for sales order. So we are starting to get a little traction with what we are trying to doing in terms of get the word out.
Lenny Dunn - Freedom Investors Corporation: And so, we likely will see better product sales in the current quarter than we did in the quarter you just reported.
Jackie Lemke: Yes, and we're also going to for the first time this quarter we're going to have a sales Pig Turn and we will put out a separate press release in another week or so to talk about the market that's there in terms of the capability to the demand in terms of the studies that can be done with pigs and our technology.
Lenny Dunn - Freedom Investors Corporation: Okay, and then getting back to the laboratory side, your new head of the labs has extensive experience and obviously extensive contacts. Is some of that coming to provision with getting some orders to get work?
Jackie Lemke: Yes, first he is learning what we do and making sure that that is up to the level of what he expects from what we can deliver, and he is also already getting out to his contact and talking to them about our capabilities. So it's starting.
Lenny Dunn - Freedom Investors Corporation: Oh, I understand and there is a long lead time, so the sooner that he can get to the contact because -- 
Jackie Lemke: Right.
Lenny Dunn - Freedom Investors Corporation: Lead time is so long on these things. Anyhow, I believe that slow steady growth without jeopardizing the balance sheet again, which unfortunately was like that when you came in not – so it's certainly not your fault, is the way to go. Plus we want to develop a good long term track record.
Jackie Lemke: Right. That's what we are looking for. Thanks Lenny.
Lenny Dunn - Freedom Investors Corporation: Appreciate it, thank you.
Operator: Your next question comes from the line of Mr. Seth Hamot. Please proceed.
Seth Hamot - RRH Capital Management: Hi. So how do you look at capacity utilization in the service business? And I don't want to have a report won't get started with a quarterly update on capacity utilization, I don't think that's really fair for management. But how do you look at it, how do you measure it and what are the variables, and what is the maximum you could actually see do you think?
Jackie Lemke: That's a good question. I have been asking that since I got here and digging into it. So you have the Evansville site for toxicology and you have capacity measured by physical capacity in terms of room, in terms of number, size and number of animals you can have on study. You have the capacity of people, scientific capacity, and then on the services side in the lab same idea, you have the instrument capacity and you have the people capacity. So there is a lot of variables because the studies run at different length of time too. So right now, the reason I put capacity utilization in the message here is that's really what's happening. And I like to put what's really happening in these notes. But the capacity utilization was low in the preclinical toxicology area for the whole industry, which, one; puts pressures on your prices but also puts pressure on the fact that lot of your cost are fixed, you can't hire and fire a chemist and lab technicians, right, you need them there. And that is getting better. We still have quite a bit of capacity though to take on more studies, which is what we are working to do for next year.
Seth Hamot - RRH Capital Management: And should I think of that as a shift work, I mean, to some extent that we are on one shift and we could actually -- could we double our toxicology capacity, could we double our bioanalytical service capacity?
Jackie Lemke: Well, yes and no. It's not as easy as products. Not that the products are easy but you can think of product work as seven days a week, three shifts a day. There is a need for training. And when you are dealing with animals and also when you deal with the protocol in an FDA study, so you have to have quite a bit of training. There is only so much time you can get out of the same group of people. So I try to push forward, can we do more shifts. Can -- but you have to actually have almost double -- let's say 50% more people before you can man a second shift a day effectively (inaudible).
Seth Hamot - RRH Capital Management: Okay. So are you seeing any limits now on your capacity utilization? Are we anywhere near -- I'm going to ask this question clear. Are we anywhere near the limits of service capacity? And then, my next question is, could you double service revenues on this present platform?
Jackie Lemke: I don't think we are near capacity from a machine and a footprint space point of view.
Seth Hamot - RRH Capital Management: Okay.
Jackie Lemke: I think from a people training it's a continuous process. Could I double with the same space and limited amount of CapEx? Yes.
Seth Hamot - RRH Capital Management: Okay. So that would require a 50% more bodies?
Jackie Lemke: Depending on the business, yes. We need to make sure that we keep our technical quality and our regulatory excellence high, yes.
Seth Hamot - RRH Capital Management: Absolutely, absolutely. You can't compromise to get ahead. You're not going to get ahead.
Jackie Lemke: Right.
Seth Hamot - RRH Capital Management: So towards that end, just so I would understand where that goes in a financial statement, which you and I will be able to understand. So is that a COG or is that an SG&A, the extra 50%?
Jackie Lemke: Yes, that's a COG. It's definitely COGS.
Seth Hamot - RRH Capital Management: Okay. Super. Question on different topic. Is the real estate still for sale? And is that an affirmative sale or if somebody out to do the right price you'd sell it kind of thing?
Jackie Lemke: Yes, it's not for sale right now. We don't have it actively listed. We are still looking to rent the excess space. And we would be happy to show people through, but because it's collateral to the loan it's just tied into a loan that we just created.
Seth Hamot - RRH Capital Management: Yes.
Jackie Lemke: So we took it off the active market.
Seth Hamot - RRH Capital Management: Super. Thanks a lot of your time.
Jackie Lemke: Sure. Thanks, Seth.
Operator: (Operator Instructions). Your next question comes from the line of Mr. George Kosar [ph]. Please proceed.
Unidentified Analyst: Yes. Good morning. First question on the bank credit arrangements, the new credit arrangement, in order to phase out of what you did in payoff, was there any charges that would -- that you incurred and would have been part of the quarter's financial statement?
Jackie Lemke: You mean by winding down the region zone?
Unidentified Analyst: Right.
Jackie Lemke: There were charges but they were nominal. I think they were less than $10,000.
Unidentified Analyst: Okay. All right.
Jackie Lemke: Legal paper work.
Unidentified Analyst: Okay. All right. And then, in the -- in terms of the facility sale that you've indicated just prior just to my question here, that you pulled this on the market I thought at one point there was some viableness about the possibility of the sale taking place. Has the market turned so to speak sour so that you just feel it's not in your interest to keep it on the market?
Jackie Lemke: No, it was really the analysis of a potential sale what we could get from the sale versus what we can do with the bank loans in terms of the cost of capital.
Unidentified Analyst: I see.
Jackie Lemke: It's really just off the market, because it wasn't incrementally that much better of a deal to do a sale than it was to put it in as collateral for the bank loan. But if somebody wants to walk in and give me a great offer, I am sure I can consider that.
Unidentified Analyst: I see. Okay. All right. Now, in the Culex area, you meet some references to this area I believe in previous questions. Can you identify or give us any general trend as to in the enhancement that would be going on or what your prospects are for really uplifting the sales numbering for Culex?
Jackie Lemke: Yes, I wouldn’t say physical enhancements are on the horizon in the next three, six months. I mean, we did just introduce the Culex Next last January. I think what we need to do and what we are trying to do is get it out there more. Surprisingly, we have a lot of global sales without even reaching out globally, which is nice. But I feel like if we can reach out more, educate people more on a difference between automated blood sampling and manual then that will help lift the sale. So we are already starting to see that coming. I can't really name the client, but we are starting to see that happen.
Unidentified Analyst: Okay.
Jackie Lemke: So really in my mind it's messaging, messaging, messaging. People need to know it's here, people need to know what it does. They need to know that the data that comes out of this is much better than manual sampling. Actually, it's accurate. And compared to manual sampling where you can have issues, it saves a lot of time in the drug development process and more accurate data saves time. And the investment, you get a return on your investment pretty quickly, if you're doing several studies.
Unidentified Analyst: Okay. All right. In terms of looking at your strategy to expand and try to utilize your intelligence and capacity, the blood sampling market and the human blood sampling market for cancer appears to really be taking off as I'm seeing a couple of other companies here. Is there any possibility that you could actually get into that area of the business doing blood sampling for and trying to generate something that would trace cancer [strains]?
Jackie Lemke: There is a possibility and we’ve looked into that. Even before I came to the company we were looking into using Culex for automated sampling on humans and we had several requests from clinics to see if we can do it, but it is very developmental at this point. So we are considering that as a strategy but we will have to probably isolate it from our every day work because it would be a pretty capital intensive to get that moving.
Unidentified Analyst: I see. Okay.
Jackie Lemke: Yes, I love that idea; I think that will be great.
Unidentified Analyst: Okay. And then lastly, on the quarterly outlook, it sounds like you're hopeful of getting an uptick now. You're going to be up against $250,000 of net in the September quarter a year ago. Do you have the confidence that you can beat that in this current quarter?
Jeff Potrzebowksi: When it comes to the guidance right now, it's really and I know it is tough when we talk quarter-to-quarter. But the things we're trying to do with regards to Jackie's comments earlier about organization spending, it's not that I'm trying to duck the absolute question but indirectly I guess you would say I am from the standpoint of our guidance. We're going to continue to be prudent as to how we spend our money. The call or one of the comments earlier was to make sure we're prudent on the balance sheet but at the same time we want to grow. So in the near-term, I would just say we try significantly to drive the top-line growth and I'd prefer not to discuss direct comparison to the prior quarter, but all the efforts that we've seen to grow tox and to grow the service side and then to kick start the product side, our hope is continue to drive that top-line growth which for us is critical and try to leverage the fixed cost base that we have. So again, not a direct answer to your question but prefer not to again make a direct comparison.
Unidentified Analyst: Great. Well I would assume based on what you generated in top-line for the past quarter that you do reasonably well relative to September quarter last year which was $5.5 million. So I would expect that you could follow through on that side at least. Thank you very much.
Jackie Lemke: Okay. Thank you.
Operator: There are no further questions in the queue. I would now like to turn it back over to you for closing remarks.
Jackie Lemke: Okay. Thank you, operator, and thank you everybody for joining us this morning. We look forward to speaking with you on our fiscal 2014 full year results conference call later this year, sometime in December. Thank you very much.
Operator: Ladies and gentleman, that concludes today's conference call. Thank you for your participation. You may now disconnect and have a great day.